Operator: Good morning. My name is Dee and I will be your conference operator today. At this time, I would like to welcome everyone to the Thryv Holdings' First Quarter 2024 Earnings Call. [Operator Instructions]
 I would now like to turn the call over to Cameron Lessard. Please go ahead. 
Cameron Lessard: Thank you, operator. Hello and good day to everyone. Welcome to Thryv's first quarter 2024 earnings conference call.
 On the call today are Joe Walsh, Chairman and Chief Executive Officer; and Paul Rouse, Chief Financial Officer.
 A copy of our earnings press release and investor presentation can be found on our website at thryv.com or in the investor section at investor.thryv.com.
 Please acknowledge comments made on today's call and responses to your questions may contain forward-looking statements about the operations and future results of the company. These statements are subject to the risks and uncertainties described in the company's earnings release other filings with the SEC. Thryv has no obligation to update the information presented on the conference call today.
 Before we get started, I wanted to provide an update on segment reporting. Historically, we've provided additional detail for the U.S. and international markets within each of our reporting segments. We're now transitioning to a 2 segment reporting structure, SaaS and Marketing Services, encompassing our global operations. It's important to note that this change only impacts how we report adjusted gross margin and adjusted EBITDA for historical segments. It will not impact how we report revenue under the disaggregation of revenue section in our quarterly filings. We are streamlining our approach to offer a unified perspective which we believe will better reflect our business model and enhance clarity in understanding our business and facilitate more efficient modeling.
 I will now turn the call over to Chairman and CEO, Joe Walsh. 
Joe Walsh: Good morning, Cameron, and thank you all for joining us on the call today to discuss our first quarter results.
 For the first quarter, we delivered strong subscriber growth, ending the quarter with 70,000 clients. The year got off to a good start. We've got strong momentum across our SaaS business, and we'll be raising guidance for the year. I'm excited to share some great news about our center strategy. We're seeing significant traction. Over 8% of our clients now have 2 or more paid centers, up from practically 0 this time last year. So we're really making some good progress there in selling additional centers to our customers. I think it's a really good indicator of the value proposition we're delivering and how sticky these products are.
 Another interesting stat that we've been looking at is our seasoned ARPU. These customers have been with us for over a year. We're seeing really strong growth for them year-over-year in the mid-teens. And again, I think this shows loyalty and the fact that people are engaging with and using the platform.
 I'd like to talk a little bit about our refinancing. We recently completed a refinancing, which is going to make a big difference for us. It's redoing our term loan and our ABL. It significantly extends our debt maturity. This provides us with financial flexibility and the runway we need to invest in growth in this business. Second, it offers us flexibility. This flexibility allows us to strategically invest in our growing and profitable SaaS business, which is really the engine that's driving our success. Importantly, the financing is underwritten with a strong focus on the strength of our SaaS operations as opposed to being so much focused on Marketing Services.
 This is really a testament to the confidence lenders have in Thryv's future. Equally important, this new structure moves away from a legacy 100% cash flow sweep, and it frees up capital that we can invest in future revenue growth. Finally, this financing allows us to pursue shareholder initiatives. As evidenced, we announced a share repurchase authorization earlier today alongside our earnings release. While debt reduction remains our core priority, this share repurchase program provides an additional tool to enhance shareholder value alongside our ongoing debt repayment efforts.
 With that, I'm going to turn the call over to our CFO, Paul Rouse, to take you through the numbers. Paul? 
Paul Rouse: Thanks, Joe. All right. Let's dive into our results beginning with SaaS. SaaS revenue was $74.3 million in the first quarter and within our guidance range, representing an increase of 24% year-over-year and slightly up sequentially. Adjusted gross margin increased 420 basis points year-over-year but decreased 130 basis points quarter-over-quarter to 68.4%. Adjusted gross margin declined sequentially, primarily due to the introductory product offerings featuring promotional pricing strategies surrounding Marketing Center at the beginning of the year. This seasonal trend is typical as the business experiences fluctuations between December and January due to the holiday effects.
 It's important to emphasize that the decline in margin is not indicative of a permanent strategy to lower prices. It's a tool to attract customers during the seasonally slow periods of the year. In fact, adjusted gross margin rebounded significantly in March to Q4 levels. Looking ahead, we anticipate exiting the year with an adjusted gross margin exceeding 70%, driven by our focus on growing our client base with new centers and increasing spending with our existing customers. Furthermore, and as Joe mentioned, our company has a proven track record of driving more spend with existing customers after 1 year, which reinforces our confidence in achieving our margin targets.
 First quarter SaaS adjusted EBITDA was $3.4 million, resulting in a SaaS adjusted EBITDA margin of 4.6%. Right now, I'm going to unpack the shortfall in EBITDA. At the onset of the year, we initiated plans to trim expenses and enhance productivity across the various fronts. While we're delighted to report that we've uncovered more savings than initially anticipated, leading to an upward revision in our SaaS EBITDA guidance for the full year.
 Let me explain the timing impact on first quarter in more detail. The restructuring of our company-wide sales commission plan aimed at incentivizing multi-center sales crucial to our profitable growth, accelerated the recognition of commissions that would have otherwise been deferred under the previous plan. Consequently, SaaS expenses saw a rise of over $2 million in commissions in the first quarter. Again, this was a timing factor that will normalize and benefit us in the future.
 Secondly, elevated G&A costs weighed on SaaS EBITDA margins, amounting to just under $1 million. These costs related to deferring cost reductions from Q1 to Q2 onward as we finalize our plans, which will ultimately yield greater savings than initially anticipated for the rest of the year. Once again, we firmly believe that these timing events are now behind us, which is why we are raising both SaaS revenue and EBITDA guidance for the full year. SaaS subscribers were approximately 70,000 at the end of the first quarter compared to 66,000 at the end of the fourth quarter, an increase of 30% year-over-year and 6% sequentially. SaaS ARPU was relatively flat at $369. First quarter seasoned net dollar retention was 94%, an increase of 300 basis points year-over-year.
 Moving over to Marketing Services. First quarter revenue was $159.3 million and above guidance. First quarter Marketing Services adjusted EBITDA was $50.7 million, resulting in an adjusted EBITDA margin of 32%. First quarter Marketing Services billings was $136.8 million, representing a decline of 24% year-over-year. First quarter consolidated adjusted gross margin was 68%. First quarter consolidated adjusted EBITDA was $54.1 million, representing an adjusted EBITDA margin of 23%.
 Finally, our net debt position was $341 million at the end of the first quarter. Our leverage ratio was 1.9x net debt to EBITDA, which is well below our covenant of 3x. As Joe mentioned earlier, we are pleased to have successfully completed the refinancing of our outstanding term loan, resulting in a reduction of the interest rate by 175 basis points. With the proceeds, we refinanced both our outstanding term loan and ABL facility, both of which were maturing in 2026. Additionally, we capitalized on the opportunity to swap out our ABL facility for added flexibility at a lower interest rate.
 The new debt arrangement extends the maturity to 2029 and incorporates amortization that steps down. Furthermore, it features a smaller excess cash flow suite, bolstering the company's liquidity. The new credit agreement provides the company with essential flexibility to continue investing in and growing our business as well as to strategically allocate capital to maximize long-term value for shareholders.
 Now let's discuss guidance for the second quarter. For the second quarter, we expect SaaS revenue in the range of $77.5 million to $79.5 million, and we are increasing our full year guidance range to $326 million to $329 million. For the second quarter, we expect SaaS adjusted EBITDA in the range of $6.5 million to $7.5 million, and we are increasing our full year guidance range to $28 million to $30 million, which implies SaaS adjusted EBITDA margin of 9%. For the second quarter, we expect Marketing Services revenue in the range of $141 million to $144 million. And for the full year, the range is adjusted to $487 million to $494 million.
 For the full year, we expect Marketing Services adjusted EBITDA to be in the range of $130 million to $133 million. Please keep in mind that the print schedule and print directory's published dates can adjust and impact Marketing Services reported revenue and EBITDA. As a helpful guide, you can model EBITDA margins around 30% in the first half of the year and mid-teens in the second half of the year.
 I'll now turn the call back over to Joe. 
Joe Walsh: Thank you, Paul. When you think about Thryv, Thryv is a category leader in a big megatrend. Small businesses are following big ones into the cloud. They're doing it to save time, they're doing it to save money, they're doing it to deliver a better experience for their customers. And for us, it's delivering strong, sustained growth as that megatrend unfolds. And we're really excited about what we're seeing and demand picking up the way it is.
 I think it's also interesting to think about what's happening with our platform strategy. More and more centers being bought by customers. And that trend, we believe, will really drive our future as we build out our platform. We're very excited about our new Chief Product Officer, Rees Johnson joining our company. Rees has a very strong background in SaaS having worked for some big well-known companies, and he's the type of talent that can help us take our platform to a whole another level. So welcome, Rees, and we're really excited about what that means in terms of us continue to develop our software platform.
 When you think about what's happening in our company, there is a legacy -- gigantic really legacy melting iceberg of our Marketing Services business. And increasingly, as we build our products like Marketing Center, we're finding more and more traction penetrating that base. And we're accelerating that penetration into that base. We think this is really good news for the development of our SaaS business and looking forward to really what's going to unfold in the year ahead.
 So with that, operator, I'd like to open the line up for questions. 
Operator: [Operator Instructions] And your first question comes from the line of Arjun Bhatia from William Blair. 
Arjun Bhatia: And congrats on the nice results here. Joe, maybe to just continue on that last point, I know last quarter, you had announced this kind of accelerated shift from Marketing Services to SaaS. Can you maybe just give us a sense of how the Marketing Services, the legacy customers are receiving that? I know it's been relatively -- it's relatively early still. But give us a sense of what kind of traction you're getting there. And is that something that is driving the accelerated growth that we're seeing in SaaS clients? I know that number was really strong today, but would love to hear some more color on that. 
Joe Walsh: Yes, 30% sub growth we think is pretty strong. And yes, it certainly was aided by going deeper into the zoo. I mentioned on previous calls that with Marketing Center, it's a much closer leap to the reason that people bought our various Marketing Services products in the past to get more leads, to make their phone ring, to get more inquiries coming in. And so that is not as big a jump as transforming your business operations and putting a CRM in and really changing the way you run. So it's -- in many ways, it's a shorter leap and an easier sale.
 It's closer to what they were looking for. And so we're continuing to have really strong success selling into that base. And as I mentioned, we're also seeing really strong 2 center uptake. That's picking up. People are really buying into the concept of buying the platform and not just one of the solutions, but buying the broader platform. So we expect that to continue, Arjun. That's part of our bullishness on the overall results for the year. 
Arjun Bhatia: And then I know the -- obviously, the debt refinance is an important step here. When you think broadly about your capital allocation strategy, how does this impact it? I know you announced the buyback, but maybe what are your thoughts on M&A going forward if you have a little bit more capital flexibility and where might you think about increasing investment even in the SaaS business? 
Joe Walsh: Well, as we've discussed before, we have an active corporate debt effort looking at and talking to SaaS entrepreneurs about how they might fit into the Thryv picture. And the challenge in the past has been twofold. One is our own very, very low valuation makes acquiring a SaaS business of any size dilutive. So it sort of makes us think about having to do smaller ones because they're typically valued as SaaS businesses, and we're not. We're valued like a phone book business. And so that makes it challenging.
 It doesn't mean we can't do it. We're pretty skillful acquirers. We're good at integrating. And we have a big sales force and a lot of ability to magnify somebody else's results. So we're very much out there looking at that, working on that. The second constraint as you touched on was our prior credit facility was essentially sweeping all of our cash. So we were operating almost in the straitjacket. We really didn't have any meaningful flexibility. And I know that you're aware, this business throws of, I think the technical term is a metric s*** ton of cash. It generates a ton of cash. And we now have some flexibility in using that cash.
 And so whether we use that cash to acquire SaaS businesses to build out verticals and accelerate our growth, whether we use it a little bit to buy back shares or whether we do what we've been doing, which is pound down the debt. I know you've watched carefully over the last couple of years as we've dramatically reduced debt by paying it down aggressively. So any one of those, I think, is really good for shareholders. And we're looking at all of them and that wind up on where you started, there are definitely some interesting SaaS targets. And I think you might see more of that type of activity in the future now that we've got a little bit more flexibility, Arjun. 
Operator: Our next question comes from the line of Scott Berg from Needham. 
Scott Berg: Congrats on the nice quarter results here. Joe, following up on the 8% of your SaaS customers with multiple centers today, are you seeing any sort of patterns emerge in terms of, I don't know, customers buying a specific center first and then adopting a specific second one or maybe it's changing on how you land a little bit? Just didn't know if you had any color on exactly kind of what those 8% are kind of buying today. 
Joe Walsh: It's definitely evolving. It was obviously Business Center first and then you go back and you try to add Marketing Center. Now we're seeing -- one of the most interesting patterns emerging is customers buying the whole thing right away, buying both centers. And it's not a huge number yet, but the sales force is excited about it because they've had more than a handful, a big number of these kind of double sales. And that bodes really well I think for the future.
 The other thing we're seeing is where they buy Marketing Center first and get up and onboard onto that and then want to continue on the journey and want to buy Business Center. And that's particularly heartening to see. Business Center is a bigger onboarding. There's more required of you as a business and Business Center. And you've got to engage more, you have to do more. You have to actually change the way you roll. Whereas Marketing Center delivers a lot of passive value. Once you're set up on it, you don't necessarily have to log in all the time in order for it to be helping you.
 So those are some of the patterns we're seeing. It's relatively early days, but really excited about thinking where we'll be, let's say, a year from now. We've gone in 1 year from negligible percent of the customers buying 2 centers to 8% at the end of this quarter, and it's surging upward. And we think that, that does a lot to help with our long-range journey, which we said we thought we could go from kind of 4,000 a year per customer to 7,000 per year per customer. We could fill more of their needs and do more for them.
 We believe that this supports that. We also have said that we felt like our net dollar retention would be able to reach 100% over time. And we think the ability to sell multiple centers into these customers will really support that and really drive that. And when we look at our cost of acquisition relative to our lifetime value, as these customers are growing and prospering and doing well with the software and buying more centers, it has a really favorable influence on our lifetime value and it makes the mass of our whole business work better. So it's a pretty exciting thing.
 It's kind of a not a little trend. It's a big deal. 
Scott Berg: And then how should we think about the decay in the -- pardon me, in the Marketing Services business going forward? Obviously, you just answered the question that we all know you're pressing into that base a little bit to hopefully purchase and migrate over to some of the SaaS solutions. But I did see you reduced the full year revenue amount of that segment. Why don't you help unpack, is that really more a function of how you're pressing on these customers to try to move your SaaS solutions or is there another macro element right now that might be giving some weakness to that business because we are seeing some SMB pressures out there today? 
Joe Walsh: That's a great question. We certainly read the same headlines you do. And we do hear some whining out there in the market about low real estate transactions or whatever that sort of affect things. But our small businesses are -- they're sort of -- I think I've told you before, they kind of do the nasty things. They do all -- when stuff is broken, you call them. You crack your tooth; you call the dentist. You're getting divorced from your wife; you call your lawyer. Your car won't start, you call your mechanic. These are our guys. These are our customers. The air conditioning doesn't work and your family is hot, so you call the AC guy. That's -- those are our customers.
 And they tend to be very resilient and just chug on through. And they tend to be the more mature businesses in the market. We have not been big sellers of the new Start business. We -- the price point in our software products cut in at 200 a month and go quickly up from there. And there's plenty of free and really cheap tools available online that if you have a tiny, tiny start-up, you should go use those and graduate to something like Thryv later. And we're more of a premium brand in the market that people look to grow up to eventually to come to a Thryv.
 So anyway, in terms of macro, our guys are doing fine. They're chugging along. They always complain. But as you can see, they're spending, they're buying. Back to your question now about what do I see in terms of the melting iceberg, make no question -- make no mistake about it. We are definitely going and sort of purposely beating up the transition. In an ideal world, we want to be a SaaS business, and we don't see the Marketing Services business forever in our future. We see us winding that down. So we're working it hard and out calling on customers, offering them interesting proposition to come into the SaaS world, and they're listening, we're having good traction with that.
 So I think I've mentioned before that, Scott, I think when you started covering us, we were like 12% SaaS revenue. We'll be 40% this year. We're nearly there now. And we'll pass 50% next year. We'll be a majority SaaS revenue business next year. So part of that is just the success we're having hunting in the zoo. 
Scott Berg: It's been a good business transition, no doubt, looking forward to seeing it hit 50% next year. Congrats. 
Joe Walsh: Thank you very much. 
Operator: Our next question comes from the line of Zach Cummins from B. Riley Securities. 
Zach Cummins: Joe, I really wanted to lean into kind of the multi-center adoption side of it. With the changes that you've made to your sales commission structure, can you talk about how just the overall go-to-market strategy has evolved? And could we see potential acceleration in that multi-center strategy adoption as we kind of progress throughout this year? 
Joe Walsh: Yes, it's a great question because it really -- that's kind of the rudder that drives the ship in some ways. And we have gradually increased the incentive to sell software and gradually sort of decrease the part of your comp that comes from selling the legacy products each year. Obviously, it's been a gradual transition. We couldn't just flick a switch because it would have left the sales force sort of up in the air. And we love our sales force. We take good care of our sales force. They're like the most important guys here. So we really kind of run our company through the sales reps' windshield.
 So yes, this year, as we rounded the bend going into 2024, we felt it was time for the next logical step in moving that rudder of compensation. And we moved it quite a bit, and we put a lot of focus on selling multi-centers. And it's just been now 3 months or so since we've done that, but the results have been dramatic. They are doing it. They were ready to do it anyway, they were wanting to do it anyway. And now the pay really lines up for that. And so they're very focused on it and having a lot of success.
 And so when I model the business, when I think about what -- how this plays out for the rest of this year and going into next year, I think that, that this time last year, it was less than 1%, we had more than one center. At the end of this last quarter, it was 8%. I see that jumping and leaps and bounds each quarter moving forward with the attendant benefit on ARPU and NDR and all the other bits that come with it.
 And as you're aware, our strategy is to try to build and roll out a new center each year until we get our full platform built out. And we're on track to do that. We now have Rees Johnson who's amazing into kind of lay his golden hands on it and help take it to even another level. So I think a big part of the first leg of this journey was us getting that 70,000 subs, getting a bunch of happy engaged customers using software. That's really hard to do. I just can't tell you how hard it is to do that.
 With that base now, though, we've got a happy group of growing customers. And obviously, we're adding more to it, and we'll keep adding more to it. But we can now sell into that base, 2 centers, 3 centers, 4 centers and really be their software provider and build that out. That will provide a tremendous amount of growth. And while we will keep adding new subs, it won't be just relying on adding subs like it was when we had a single center. So yes, multi-centers is at the core of this. And for an analog, I think you can look at HubSpot and what they've done.
 HubSpot is growing at a certain rate when they had one hub. They were growing a little faster when they had 2 hubs. But as they built out the full platform, they started to get synergy between all the hubs. You saw the growth accelerate. They're obviously working above us in the market. We're a HubSpot customer. Their ICP is about 2,000 employees. But we're sitting beneath them doing a very similar thing and we admire what they've done. 
Zach Cummins: And Joe, you kind of have touched on it a little bit, but can you speak to the new technology leadership, I mean, with Rees Johnson coming on board. Any meaningful changes to how you're thinking about your center strategy or any tweaks to the potential rollout plans with new leadership in place? 
Joe Walsh: I don't have anything to report on now. Obviously, we brought in a world-class executive. He's come out of McAfee, Symantec, Forcepoint, some of these really incredible big brands, and he's really quite an accomplished guy. I'm real proud of the fact that someone of his level would want to join somebody like us here at Thryv. We probably couldn't have attracted somebody like this 2 or 3 or 4 years ago. But he sees the scale that we're at, how big and how successful the company is. And candidly, how undervalued it is. He looks at it and he says, "Wow, I want to be a part of that."
 So he's looking at that and he looked at our software, he's been under the hood kicking around and he has come back and said he's impressed with what we've got. Like any new guy coming in, he's got new ideas, better ideas, ways, he is going to take it to another level. And it's early days. I don't have anything to report on that right at the moment. But directionally, the idea of building out this big platform is still very much what we're doing, and we're having a lot of success.
 So we're not going to just change it right away. We're going to keep building on that momentum. 
Zach Cummins: Best of luck with the rest of the quarter. 
Joe Walsh: Thank you. 
Operator: Our next question comes from the line of Daniel Moore from CJS Securities. 
Dan Moore: Just wanted to go back to the well-defined strategy of accelerating conversions from Marketing Services to Marketing Center. As we look at billings in Q1 for Marketing Services, it's down 24%. Is that a good proxy for continued declines? Would you expect that to accelerate? And just talk about your ability to maintain the line on margins as that does. 
Joe Walsh: Good question. We'll continue to really guide you guys because we know that the way revenue needs to be recognized at the time of publication, unless you study our pub schedule and know which books are big and which books are small and all that, you'd have no way to follow it. So we will keep really giving you really prescriptive guidance so that you don't get caught offside on how this is moving. And as mentioned earlier, we brought down the guidance a little bit for the year because we're having so much success working into that.
 Paul, I don't know if you want to jump in and offer any thoughts on how they should think about it longer term or how they should think about margin? 
Paul Rouse: Yes. I think there really needs to be a paradigm shift in how we think about this. I think we should move away from thinking of margins and Marketing Services than margins and cash flow and EBITDA from the full business because there's very high margins on the SaaS side. So you're going to see -- as we raised our guidance and EBITDA on the SaaS side, you're going to see that go on continually. So you're going to see continued declines in Marketing Services and growth on the SaaS EBITDA growth and margins, and consolidated is going to be pretty healthy.
 To just focus on Marketing Services, I think, loses the plot. So I think it's more important to look at the overall EBITDA from the entire company because we are aggressively moving it there. And does anybody really care where the EBITDA comes from? It's probably more important that it comes from the growth part of the business. So I think that's how I'm thinking about it, and I would encourage that probably the approach that most should take. 
Dan Moore: Makes perfect sense, Paul. I wouldn't -- I couldn't agree more, and it leads to my second question, which is talk about your confidence that we're approaching the trough for consolidated EBITDA in terms of the lines crossing. When you think about the updated guide for fiscal '24, do you think you can hold that line or start to grow in '25 and beyond or are there shifts in the publication schedule that could impact that again in '25? Just -- I know I'm not looking for outward guidance, but just trying to understand where we are in relation to those lines crossing and the overall starting to grow. 
Joe Walsh: Paul, do you want to take that? 
Paul Rouse: Yes. Obviously, that's what we're trying to do. You put your finger on a good point. We really have to look at the pub schedule and what's happening there because while cash flow would remain strong, there could be blips in how EBITDA is recorded because of the publication schedule. But we're getting closer. And each year, we get closer and closer to that. And we are focused like a laser beam in getting back to growth. I think I'll just answer it that way because we haven't really mapped out where '25-'26 in real detail to put the -- just put a spike in the ground and just tell you what we expect quite yet. 
Joe Walsh: Yes. And Paul, I would just jump on the -- oops. Sorry. I would just add a little bit to the answer there. I mean one of the things that I realize is challenging sometimes for people observing Thryv or investing or thinking of investing is our metrics are not always perfectly smooth, like they don't always go perfectly up and to the right. Part of that is because we're transforming this giant business into what we're creating. And it sometimes is lumpy and chunky and bounces around a little bit. And if you back up and look at the overall trend over a period of years, you've got a rapid transition.
 But within that, sometimes the metrics have bounced around a little bit, whether it was one individual point or another. And I would just sort of ask people to take one step back and look at the grander picture, you've got small businesses moving into the cloud. They weren't before, now they're going in. They're going in fast now. And that trend is really accelerating. And we're the category leader in that trend, playing it. And the transformation is happening. And it's happening very quickly. And our Do-It-All Small business software is very popular in the market. And I think that's what folks are investing in. And the future cash generation capabilities of the company are strong.
 So I don't know if you had a follow-up there, Dan. 
Dan Moore: No, that was it. And clearly, the transition is accelerating in the right direction. Just trying to set the expectations bar appropriately. 
Joe Walsh: All right. Thank you. I think that wraps up for us. 
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.